Operator: Good morning, and welcome to the EMC Fourth Quarter 2011 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to introduce your host, Mr. Tony Takazawa, Vice President, Global Investor Relations of EMC.
Tony Takazawa: Thank you. Good morning, welcome to EMC's call to discuss our financial results for the fourth quarter of 2011. Today, we are joined by EMC Chairman and CEO, Joe Tucci, and David Goulden, EMC Executive Vice President and CFO. To kick things off, David will comment on the results that we released this morning. He will highlight some of EMC's activities this quarter and he will discuss our outlook for 2012. Joe will then spend some time discussing his view of what is happening in the economy and IT, EMC's execution of our strategy and how EMC is helping customers navigate the massive transformation happening in IT to cloud and Big Data. After the prepared remarks, we will then open up the lines to take your questions. I would like to point out, today we are providing you with a very detailed projected financial model for 2012. This new model lays out all of the key financial assumptions that are the foundation of our 2012 expectations. We hope that you find this model helpful in understanding our assumptions and context and in ensuring that these expectations are correctly incorporated into your models. This model is included in today's slide presentation that you can see during the webcast and it is also available for download in the Investor Relations section of emc.com. In addition, please note that we will be referring to non-GAAP numbers in today's presentation unless otherwise indicated. A reconciliation of our non-GAAP comments to our GAAP results can be found in the disclosure today, in our press release, supplemental schedules, and the slides that accompany our presentation. All of these are available on emc.com. The call this morning will contain forward-looking statements, and information concerning factors that could cause actual results to differ can be found in EMC's filings with the U.S. Securities and Exchange Commission. And lastly, I will note that an archive of today's presentation will be available following the call. With that, it's now my pleasure to introduce David Goulden. David?
David I. Goulden: Thanks, Tony. Good morning, everyone, and thank you for joining us today. I'm very pleased to report another quarter of record results for revenue, non-GAAP EPS and free cash flow. This excellent performance enabled us to achieve record results for the full year, driven by year-on-year growth in revenue of 18% to $20 billion and non-GAAP EPS of 20% and in free cash flow of 29%. Clearly, we're delivering on our ongoing commitment to strengthen our strategic position within the evolving IT landscape and on our triple play of gaining market share, reinvesting for growth and delivering leverage. These very strong results make us better prepared than ever to maintain our strategic agility and operational excellence as we head into 2012. As you know, fundamental changes are underway in IT right now, and it is our ability to identify and invest in these changes that has enabled us to achieve the solid Q4 and record full year results we're reporting today. The transformation of IT is occurring with customer shifts to private, public and hybrid cloud models. The transformation of business is also underway as new technology is enabling organizations to harness the power of Big Data in ways that were impossible only a few years ago. The transformation of EMC is ongoing as we continue our evolution of our company in order to remain at the forefront of these expansive opportunities and help our customers advance in this new age. As we look across our business, it is clear that EMC is well equipped for this era of transformation. To begin with, customers' cloud and Big Data objectives are best served by having the right information storage infrastructure. Intelligent automated storage is a critical component as is the ability to give customers options because the nature and use of these expanding data sets are almost as varied as the data itself. Having a broad and best-of-breed product portfolio in storage is an important differentiator and has been a key reason for our success. Year-on-year, Information Storage revenue grew a healthy 12% over Q4 of last year. As expected, we have adequate hard disk drive supply for the period, although there were some challenges relative to the availability of certain drive types. Product revenue was up 11% and 24% in the high-end and mid-tier, respectively. This is an excellent result and speaks to the strength of our offerings across a wide spectrum of different applications, implementations and use cases. For customers with mission-critical data sets needing to scale with the best performance, reliability and availability, our high-end scale-out VMAX is consistently selected as the tool for the job. While these attributes have driven our market leadership in the high-end for years, our value proposition in this segment has grown as we've improved our product portfolio to accommodate the transformations of IT and business. For example, we introduced flash drives to enterprise storage 4 years ago, unveiled our virtual matrix VMAX architecture 3 years ago and refreshed VMAX's software capabilities just last year, doubling performance and adding faster VP. The innovations we have consistently introduced are important to customers and make our high-end more useful for their evolving needs. The results have been meaningful share gains in the high end over the past several years. The addition of FAST VP to VMAX last year enabled customers to more efficiently and automatically tier the information across flash and SATA drives. Clearly customers value this feature as the attach rate of FAST VP to VMAX continue to climb in Q4. The vast majority of these systems are leveraging both flash and SATA drives and, in fact, flash capacity sold on VMAX more than doubled year-on-year in Q4. The addition of VMAXe to the portfolio in 2011 expanded our addressable market. VMAXe offers the reliability, availability and many other attributes of a VMAX in a small system, one designed specifically for businesses with limited space, IT staff or capacity needs. The VMAXe is meeting our objective of successfully reaching this tier of the market, particularly outside the U.S., as over half of VMAXe sold in 2011 went to international customers. The VMAXe is also allowing us to gain new customers in the U.S. Papa John's Pizza is just one example of a brand-new EMC customer we won because the VMAXe meets their specific needs for powerful scale-out block storage in an efficient package. In 2011, the addition of VPLEX Geo expanded our VPLEX family by offering high-availability and distributed data access over extended distances. The value proposition of VPLEX offers, turning a secondary data center into a productive site enabling active/active data across distance, has transformed how our customers are architecting their cloud infrastructures. A bank in Poland was a great example of this in Q4. VPLEX's ability to seamlessly move their vSphere applications between data centers without any interruption is enabling them to take full advantage of their virtualized infrastructure as they can now do load-balancing and allow real-time data access over 2 data centers that are miles apart. This value, proposition is as yet unmet by any competitive offering. It is innovation such as these that keep our products at the leading edge and broaden their use cases. You can expect us to continue our unrelenting pace of improvements here in 2012. The transformation of EMC has been most evident in our mid-tier product set. As customer needs in the mid-tier have expanded, we have expanded our portfolio accordingly to ensure we have the right tool for the job. In 2011, we launched our VNX Family to meet the needs of customers seeking simplicity via a unified architecture, better VMware integration and auto tiering, all of which combine to deliver greater efficiency and at lower total cost of ownership. As a result, our VNX Family has been warmly embraced by both existing and new customers alike, and brought in almost 2,000 new customers to EMC in Q4 alone. It is also interesting to note that almost half the customers who bought VNX systems during 2011 had not purchased EMC unified systems before. In addition to winning new customers, our VNX product family won numerous awards in 2011, including awards for Best Storage Array for SQL by SQL Server Magazine, the Best Array for Storage Virtualization by readers of Virtualization Review, and product of the year by CRN. Resellers have embraced the VNX and VNXe as they're designed with a channel in mind. They are some simple, efficient and powerful, offering options that meet the widely varying needs presented across the diverse base of customers. Our acquisition of Isilon just over a year ago, was a key step in the transformation of our mid-tier business to better meet customers' cloud and Big Data needs. Isilon has thrived as part of EMC and its revenue more than doubled again, year-on-year, in Q4 and for the full year 2011. With its core value proposition of simplicity of scale, Isilon has always enjoyed a strong position in verticals such as media and life sciences, and continues to do so. Our recent win at the Associated Press for Video Production and Archiving is a great example. Now as part of EMC, Isilon has been rapidly gaining traction in a number of new accounts, use cases and verticals where scale-out capabilities are required to handle rapid growth. As the integration of Isilon progressed during 2011, the EMC sales teams became better at identifying and offering customers the best solution for the job at hand, and we saw the growing effect of this in Q4. By offering the simplicity of a single file system, scalability in line with data growth, ease-of-use and management, and lower CapEx for improved utilization, Isilon meets general-purpose data center use cases and accounts where Isilon previously didn't exist and that EMC wasn't serving before. This is a case that won the world's most diversified technology organizations. This Fortune 50 company purchased more than 2 petabytes of Isilon to unify its massive network of user shares and home directories, completely eliminating the incumbent NAS vendor from its file sharing environment. Another great illustration of why Isilon is thriving within our portfolio was a multiproduct win at a large health insurance company. The customer was seeking greater flexibility and performance across all applications in their virtualized environments, and they also needed a single repository that was simple to manage and grow. With VMware integration that was tighter than the incumbent NAS vendor could demonstrates, VNX was selected for the continued development of the cloud architecture. And with its superior scale and efficiency, Isilon displaced the same incumbent vendor from the customer's secondary site for data protection. As this example makes clear, the one-size-fits-all approach to storage is not ideal for today's environments. Having the right tool for the job is. Add-on to VNX and Isilon the capabilities of Atmos, the geographically dispersed data, and you have a storage infrastructure offering for cloud and Big Data that is unparalleled. EMC's transformation in the mid-tier extends beyond production data infrastructure into backup and recovery. The combination of Avamar and Data Domain in our backup portfolio 2 years ago enabled us to offer backup solutions that fit hand-in-glove with new data center architectures. An excellent example was a multimillion dollar, multiproduct win in Q4 where the customer, a global technology company with a heavily virtualized environment, purchased VMAXe for their production data and adopted a combination of Data Domain and Avamar for disaster recovery. Product synergies, both across EMC and within our backup portfolio itself, are a competitive advantage and part of the reason why we've being consistently growing faster than the backup market. With Data Domain and Avamar alone exiting the year at a revenue run rate well over $2 billion, our BRS division has become an essential part of our strategic offering. Through the transformation of our mid-tier storage portfolio, we've created a truly formidable offering that far exceeds the capabilities of more narrowly focused storage vendors and also far exceeds the storage capability of the server vendors. We are best-of-breed unified VNX Family which includes VNX and VNXe, complemented by our market-leading backup and recovery solutions and also by our scale-out Isilon product family, we offer a winning combination that resonates with customers and has driven the share gains we've made in the mid-tier segment in 2011. Customers also appreciate the additional choices we give them to scale out block with VMAX and VNXe. As we have noted, the transformation that is characterizing the industry today goes beyond the transformation of IT and cloud infrastructures. Increasingly, the transformation of business itself is being driven by the ability to harness Big Data. Businesses that can make timely use of the vast troves of data stored both with -- inside and outside a company can gain a robust competitive advantage. EMC Greenplum meets the needs in customers of all sizes, enabling to sort through extremely large data sets in the neighborhood of millions of transactions per day or hundreds of billions of clicks per month. The broad appeal of Greenplum's technology won us new customers across a broad spectrum of industries in Q4, including healthcare, technology, retail, and communications to name just a few, and really helped drive Greenplum's strong Q4 results. Throughout 2011, Greenplum has been establishing full leadership in Big Data, and we expect to build on the foundation we've put in place over the last 18 months to continue to drive penetration and growth. Greenplum's offering has expanded from a single product to a portfolio that includes the industry's only unified solution for Big Data analytics, the unified analytics platform. Unveiled just last month, the UAP combines the coprocessing of structured and unstructured data with a productivity engine and social network that enables collaboration among data science teams. With this next generation portfolio for analytics and by leveraging the broader EMC sales force, our own data scientists, our channel partners and our growing partnership with SAS, we expect to help more customers than ever before begin to extract the value from the Big Data that surrounds them. Cloud and Big Data objectives will only be fully met if a company's blueprint for its IT transformation builds in trust. Companies need robust security designed for today's advanced persistent threats. Our RSA Security division grew 16% in Q4, as its holistic, agile, data-centric approach is the right one for the modern threat environment. We maintained our leadership position in identity management and protection, adding 1,400 new SecurID customers in 2011, and we saw strong growth in security management and compliance. Our security management and compliance suite, which combines the capabilities of NetWitness, Archer, DLP, and enVision, presents a unique, risk-based, agile, and contextual approach to advanced threats. The integrated software of the SMC suite gathers and analyzes security Big Data to deliver insights in real-time. This is a winning offering with customers, particularly as security has become a top priority among CEOs and corporate boards. An IT infrastructure designed for cloud and Big Data also requires the ability to easily access, capture and integrate information from disparate sources, and our Information Intelligent Group's offerings facilitate these objectives. This quarter, our Information Intelligence Group made their core Documentum, Captiva and Document Sciences products available as a private cloud offering, using internally-developed VCUBE technology. They also demonstrated new Big Data use cases using their Documentum xCP technology. Revenue was roughly flat from Q4 a year ago as IIG caps a year of transition and stabilization of its product portfolio and operations. A key underpinning of an enterprise infrastructure built for cloud and Big Data is virtualization. We're making great strides here with VMware crossing the $1 billion milestone for the first time in Q4 at close to $1.1 billion, an increase of 27% over last year's Q4. Having become the de facto standard for virtualization in enterprise data centers, with a tested and trusted virtualization platform, VMware is uniquely positioned to address customer needs for easier management through the virtualization layer. In 2012, VMware will continue to enhance its strategic relevance: In the data center, by building on the foundation we've played with vSphere and expanding our capabilities in management and security; at the application layer, by supporting the development of new applications through Cloud Foundry and vFabric; and with the end-user, by continuing to improve and expand upon the capabilities of View and other enabling technologies for the seamless access to data and applications in the cloud. The investments we've made to improve the functionality of our storage products in virtualization environments are also paying off as many of our wins are due to tight integration and ease of operation with VMware. We had many such wins in Q4, including wins at several technology companies in India, manufacturers in Japan and 2 telecommunication companies in China, to name just a few. We have been making great strides in transforming our product portfolio to equip it with leading-edge capabilities for cloud and Big Data. Equally important has been the transformation of our go-to-market model to facilitate the adoption of these technologies by customers. Already equipped with a direct sales team, that is widely recognized as the best in the industry, we've been focused over the past few years on further developing our go-to-market model. By leveraging our services organization, expanding our relationships with existing channel partners, seeking out and incentivizing new channel partners, and capitalizing on VCE, we continued to drive customers towards the next generation IT infrastructures that will support cloud and Big Data in the future. Our own Services organization had an excellent Q4 and full year 2011 as demand was very robust from customers seeking the most effective ways to get to cloud and leverage their Big Data assets. For EMC, this translated into implementation, support and consulting services, not only in storage but also in security as customers begin to understand that the new threat environment requires a whole new way of thinking about security. Over the past few years, we've been transforming our services business by implementing productivity tools to enhance the profitability of our service offerings, and we've seen the fruits of our labor in our financial results and in our excellent customer satisfaction ratings. 2011 was a transformational year for our channel program. With the combination of renewed management focus, a vastly improved channel model and the launch of products designed with channel in mind, the channel is responding. In 2011, over 1,700 partners began selling EMC products for the first time, and revenue from these new partners in 2011 accounted for almost 1/2 our channel revenue growth in 2011. Our existing partner base is energized as well, with revenues through our 3 largest partners expanding approximately 50% in 2011. The mutual success we have enjoyed has won us accolades, including being named Company of the Year by CRN. But perhaps the most exciting part of our story is we still have a lot of room to grow. VCE has become a major force in the IT industry and an important element of our technology portfolio and our go-to-market model. VCE's strong momentum is due to the fact that more companies are recognizing the value proposition of the Vblock, and many of those that have are now looking to standardize on it. Given that converged infrastructure is a relatively new concept, and Vblocks are very new products, we're extremely pleased at the adoption rate thus far. The order rate for Vblocks in Q4 exceeded $800 million on an annualized basis as we rapidly close in on the $1 billion run rate goal we highlighted last year. We expect continued success as Vblocks become more well known and sought after for their unique value proposition, a single converge product, a single pane of glass for management, a clear upgrade path, and one point of contact for customer support, all on rock solid technology from best-of-breed vendors. The appeal of Vblocks is global, as wins in the quarter include the Spanish National Statistics Institute, a Swiss pharmaceutical company, a Mexican IT service provider, a Russian energy company, an Australian bank, and a large equipment distributor in the U.S. We think that the strength of our position is clear: A product portfolio that has been developed with customers' current and future needs in mind and which will continue to evolve to remain at the leading edge of efficiency, agility and trust to cloud and Big Data architectures; a powerful go-to-market model through our direct sales force and service team, an expanded server channel partners, and unique joint venture in VCE; and perhaps most importantly a vision, strategy and roadmap that is in lockstep with 2 of the biggest trends in technology, cloud and Big Data. We leveraged all these strengths through 2011, not only to enhance our market position, but also to drive excellent results. Consolidated revenue grew 14% in Q4, led by growth of 26% in APJ, with revenue growth of 16% in the Americas and 6% in EMEA. Our BRIC + 13 revenue grew 22% in Q4 as we continue to make progress penetrating these rapid growth markets. We've been stepping up our investment in these geographies as their growth will continue to materially outpace more established markets. Non-GAAP gross margin improved once again in Q4, up 260 basis points over last year's fourth quarter to 64.5%. We made exceptional progress in gross margins throughout 2011 due to volume and mix shifts, including introduction of Isilon, FAST VP and bundled VNX software products to our revenue stream. For the full year, we improved non-GAAP gross margin by 220 basis points to 62.6%. Gains in gross margins continue to drive progress in non-GAAP operating margin, which was 26.3% for Q4, 90 basis points higher than Q4 2010. For the full year, non-GAAP operating margin was 23.9%, 190 points higher than 2010. Operating expense in 2011 reflected the important investments we've been making in our go-to-market. For 2012, expect to see SG&A growth more aligned with revenue growth and the allocation of more of our resources to R&D. Our strong execution drove record free cash flow of $4.4 billion for 2011, more than $1 billion higher than 2011 non-GAAP net income. Contributing to this was continued strong growth in deferred revenue, up 32% to $6.2 billion. Driven over the course of the year by strong services bookings and renewals, the expansion of deferred revenues helps to balance our more transaction-oriented business with a growing stream of more predictable revenue. We continue to manage our cash prudently to meet our objectives of returning value to the shareholders while making the right investments we need to keep us positioned for the long term. We returned $2 billion to shareholders through our buyback program over the course of 2011 and ended the year with $10.8 billion of cash and investments. Earlier this month, we used $1.7 billion of this cash balance to settle the first tranche of our convertible debt, and we plan to return an additional $700 million to shareholders in 2012 through EMC share buybacks. We will continue to deploy our cash wisely throughout 2012 by making strategic and disciplined acquisitions and reinvesting in our business to drive growth. We ended 2011 incrementally better positioned because of our triple play, gaining market share, reinvesting in the business and delivering leverage. In 2011, we gained market share not only because we have a broad portfolio of best-of-breed products built for the next wave of IT, but also because our go-to-market approach continues to expand and mature. These durable advantages will also drive growth in 2012 and beyond. We were able to make strides in market share in 2011 because we have been investing for growth through strategic acquisition, investments in our partner ecosystem and go-to-market, and in our own R&D. In 2012, we will continue to invest, both externally and internally, especially in our own R&D in order to keep our leading-edge position in this very dynamic environment. In 2011, we delivered EPS leverage and are poised to continue to deliver leverage for the next several years. In 2012, we will continue this progress. While Joe will give more color on our view of the environment, a few of the factors built into our expectations include slower growth in IT spend, a headwind concurrency and some hard disk drive supply constraints. As you can see, we've laid out here for you all the assumptions that are guiding our expectations. We expect to achieve revenue growth in 2012 better than twice the projected growth of IT spend, to $22 billion with non-GAAP EPS growing faster to $1.70 a share. We've modeled our revenue to follow a seasonally normal percentage of total for each quarter during the year. As you may recall, early last year, we presented our view of the growth potential for each of our lines of business. Our view of our long-term growth prospects has not changed as we operate in some of the hottest areas of IT where secular growth trends are strong and expected to persist. On top of this, we hold the leading position in the vast majority of these. As a result, we continue to expect our high-end storage and IIG business to grow in the range of 1% to 10%. We see our unified storage line, RSA and consulting, growing in the 10% to 19% range. And we expect our higher growth businesses, including VMware, Isilon, BRS and VCE, to remain on track for 20% or higher compound annual growth over the 4-year period. This dynamic, along with our solid performance in 2011, puts us squarely on track to achieve the financial potential we laid out for you last February. Over $28 billion of revenue in 2014, which represents compound annual revenue growth of at least 13% from 2010, and non-GAAP EPS growth even faster than this. This is truly a transformational time. IT is transforming to more efficient and agile cloud models. Business will be transformed by Big Data and EMC continues to transform its business to capitalize on these trends. Propelled by the many sound fundamentals of our markets, customer demand, our offerings, our partner ecosystem, our strategy and visible [ph] execution, we fully expect to continue the success we've achieved over the past several years to capitalize on what we think are the biggest opportunities the IT industry has ever presented. With that, I'll turn it over to Joe. Joe?
Joseph M. Tucci: Thanks, David. I'd like to begin by welcoming everyone to today's call. Thank you for joining us. I am pleased with our overall performance in Q4. Our results were strong and our balanced execution capped a very successful 2011. For the year, EMC's revenues grew 18%. And to be totally transparent, normalizing the effect of our acquisitions, we grew at 16% on an apples-to-apples basis while producing substantial leverage as our non-GAAP EPS grew 20%. I would like to congratulate and thank the now over 53,000 dedicated people of EMC and VMware for their hard work and dedication. It is truly a pleasure to work by your side. Now let's turn to the one thing that I'm quite sure is on everyone's mind. Namely, our thoughts and beliefs on the global economic environment and its impact on 2012 IT spending. We have no doubt that the global economy will remain choppy as it has for the vast majority of 2011, especially as it was in the second half. Within this economic landscape, we strongly believe that there will be real growth in IT spending this year. To put a number on it, we expect 3% to 4% growth in overall IT spending in 2012 over 2011. Putting this in context, this is about 1/2 of the 7% growth rate that we believe the IT industry experienced in 2011. But again, we see real growth. Within this 3% to 4%, there will be a lot of variability. There will be variability in geographies. We expect IT spending in Asia and on Japan, Latin America, Middle East and Africa, to be up 6% to 8% year-over-year. We expect IT spending in the U.K. and the Eurozone to be roughly flat. And we expect North American, Eastern European and Japanese markets to grow IT spending at 3% to 4%. There will also be variability across IT sectors. IT spending in storage and data protection will grow faster than the IT industry average, and IT spending for security, Big Data storage, Big Data analytics, virtualization, data center OSs, and cloud device virtualization automation will grow significantly faster than the IT average. The good news is that these higher growth areas of IT are where EMC and VMware play and where we have leadership positions and, very importantly, where we have momentum. For those of you on the webcast today, we have included 3 analyst surveys that demonstrate high spending intentions in the IT areas I just mentioned. That said, the key to our success in 2012 will be the strength of our innovative products and services, which will be further enhanced by a number of robust product launches during the year. This year, we plan to introduce a long list of new and exciting products into the market. We plan to launch a refresh of VNXe and increase software capabilities and performance enhancements across the VNX product line. We plan to introduce a new VMAX with even more software functionality, scale, capacity and performance. We plan to announce the general availability of Project Lightning, our service side flash product that is fully integrated with our fully automated storage tiering technology commonly called FAST. Please join us in 2 weeks for this exciting launch. And by the way, while I'm on the subject of flash, we will continue to enhance our extensive flash and FAST capabilities across all of our storage platforms. We plan to refresh our Data Domain and Avamar product lines, featuring increased performance and scale, with enhanced offer of functionality. We will also have even tighter integration between these 2 products. We also have planned product refreshes of Isilon this year, featuring increased performance, scale and virtualization support and functionality enhancements for enterprise use cases. RSA planned significant announcements around security management and compliance, and identity and Data Protection. And VMware plans to deliver new functionality in all of their major product families, the vSphere cloud infrastructure suite, as well as vFabric, Cloud Foundry, View and Horizon. Again, these are just a few of the exciting new product launches you can expect to see from us this year. I guess the second question on your mind is about disk drive availability, especially for the first half of this year. To be clear, the floods in Thailand have had a major impact on the disk drive industry. Some of the major players and many of their supply chain vendors were directly affected by the flooding. For instance, 2/3 of all drive motors are made in this flood-affected region. The executives of the major drive companies are doing a superb job working with their supply chains in reestablishing their production capabilities. We told you on our Q3 call that we expected to be okay in Q4 and that we would meet our revenue and EPS expectations, and we did just that. We also told you we would give you more color about drive availability for 2012 when we reported Q4. To amplify what David has already said, we expect there to be drive availability constraints throughout 2012, and we expect these constraints to apply more to near-line drives than mission-critical drives. There is potential for availability constraints to improve in the second half of 2012, and given our strong relationship with our major driver vendors, we at EMC expect to be relatively better positioned. So given the factors I just mentioned, the choppy economy, real growth in IT spending, the industry constraints around drive availability, and our strong product portfolio and roadmap, I would now like to reiterate our expectations and our financial goals for 2012. This year, we expect revenues of $22 billion and non-GAAP EPS of $1.70. As is our custom, these are the financial goals that were approved by our board and they are the goals in which management will be evaluated and compensated. Also, in very early February, our board will give us an additional goal for free cash flow. This goal will clearly be higher than the $4.4 billion we produced in 2011. As we strive to meet, and hopefully beat these financial goals, our guiding light will be our strategies for private and hybrid cloud computing, Big Data and security, for we firmly believe that at the intersection of cloud, Big Data and trust, there is massive opportunity. As I hope you can see from our solid Q4 and full year results, as well as our 2012 outlook, that solid[ph] EMC is extremely well positioned to benefit from what our leadership team and I believe is a game-changing shift taking place in IT, a shift to IT-As-A-Service commonly called cloud computing. In that regard, I am confident that we have a compelling strategy to capitalize on the opportunities ahead, including leading technologies, products and services, and what I believe are the most dedicated and hard-working employees with a passion for excellence who, first and foremost, understand the importance of putting our customers' interest first. In closing, I am well aware that the topic of my succession has been a matter of some interest, so let me quickly address it and put it to bed. Based upon our business performance and sound prospects for continued success, EMC's Board of Directors has requested that I remain Chairman and CEO into 2013. Equally as important to me is the fact that I am truly blessed and honored to work with an extremely talented senior leadership team here at EMC and VMware. And they, to a person, have also been actively encouraging me to rethink my transition plans. After much soul-searching, I have agreed to extend my role as Chairman and CEO into 2013. From a personal perspective, I have never been more energized and excited by what this great company can accomplish. And as I've said in the past, the board and I fully expect that my successor will come from within the existing, talented and experienced ranks of the EMC management team. I have already started to increase the responsibilities of my senior leadership team, and when the time is right, my successor will be named. Until then, we have much work to do and I am extremely grateful that I have the strong support and commitment of our board, as well as our senior leadership team to work alongside me as we pursue our full business potential. Thank you all again for being with us today. I would now like to turn it back to Tony to moderate the Q&A portion of today's call. Tony?
Tony Takazawa: Thanks, Joe. Before we open up the lines for your questions, as usual, we ask you to try and limit yourselves to one question, including clarification. This will enable us to take as many questions as possible. We thank you all for your cooperation in this matter. Evan, can we have the first question, please?
Operator: Our first question today comes from Aaron Rakers with Stifel, Nicolaus.
Aaron C. Rakers - Stifel, Nicolaus & Co., Inc., Research Division: Real quickly, I want to delve into the midrange product cycle. You cited 2,000 customers added just in the calendar fourth quarter alone. First on that, is that inclusive of both VNX and VNXe, and how does that compare relative to the 1,300 number you guys had thrown out last quarter? And basically, on VNXe, where do you think we're at in terms of really seeing the ramp into what you've characterized as a $5 billion addressable market in the past?
David I. Goulden: Let me take that. So yes, the 2,000 does include VNX and VNXe and is directly comparable to 1,300 last quarter, so you can see the number of new customers ramping. The other point I'd make just before I come back to your VNXe question, just to reinforce the point I made about VNX because I also made a very important point in my remarks. When you look at the full year, half of all the customers who bought VNX, and I'm talking VNX, not VNXe, were also net new customers for our unified line. Going back to VNXe. Absolutely on track, we've had a huge program inside the company this year, focused upon what we call the lower end of the mid-tier marketplace, and our growth rate in the lower end of the mid-tier market has been significantly higher than our growth in the higher end of the mid-tier market which is what we've been trying to do this year, so we're very pleased. A lot of those net new partners I talked about, the 1,700 new partners who came on during the year and sold our product for the first time, were also selling VNXe. Having said that, we recruited twice as many partners as actually started selling this year, so we still got work to do. But net-net, VNXe is on track.
Operator: Our next question comes from Ittai Kidron with Oppenheimer.
Ittai Kidron - Oppenheimer & Co. Inc., Research Division: David, I want to dig into these last comments that you mentioned regarding the 2,000 new customers for VNX. Can you give us a little bit more color on the competitive landscape in that area and who you're seeing most of the gains from? Like who are the 1, 2 vendors that you feel you're bidding more often than not then, with using this product?
David I. Goulden: Right, just to clarify again. So let me clarify again that the 2,000 was across VNX and VNXe, so that includes both. And Joe, you may want to comment on the competitive environment that we're facing there.
Joseph M. Tucci: Let's put it this way. If you take the major players in mid-tier, we believe we took share across the board.
Operator: Our next question comes from Brian Marshall with ISI Group.
Brian Marshall - ISI Group Inc., Research Division: Joe, if you think the industry grew 7% last year and you grew 18%, that's about a 250% increase relative to the market. Next year, if you take -- or this year, I guess calendar '12, if you take the midpoint of the industry growth, 3.5%, and you expect to grow double digits, call it 10%, that's about 290% growth above the market. So your implied growth rate is actually 15% higher. So is that assuming that you guys continued to take share and that's the result there?
David I. Goulden: Yes, Brian, let me take that. I mean, obviously, there are a number of puts and takes, but absolutely, we do expect to continue to take share. We talked about, if you take the average of what Joe spoke about between 3% and 4% growth, 3.5.% for IT spending, 10% for us, it's close to 3x. So we are confident that we'll be taking share. Obviously, with VMware growing midpoint about 21%, the rest of business would be growing about 7%. That would also be about 2x IT spending average. So we're confident about our share gains. We've got a number of things in our favor this year. For example, we've got a full year of VNX and VNXe. Remember, last year, we went through a transition in the first quarter and into the first half. And also we've got the maturity now, the more mature channel that we spoke about, that we really only tried to put in place this time last year. So we do have a few things going for us that'll help us with those extra share point gains this year.
Joseph M. Tucci: And Brian, the only color I'd add to that is what I said in my kind of prepared remarks. And that is that we're facing a very good, fortunately, we'll be faced with a very good product cycle and exciting launch schedule next year, so that gives us additional confidence.
Operator: Our next question comes from Deepak Sitaraman with Credit Suisse.
Deepak Sitaraman - Crédit Suisse AG, Research Division: Joe and David, last year on the midrange, building out the channel was a key initiative for you. Can you tell us where we are in that process and how much more to go in terms of just channel partner on boarding? And maybe if you can give us some examples of what you're doing just to make your channel more productive.
Joseph M. Tucci: Well, this is Joe, Deepak. There's a litany of things. Obviously, one of the things I've said is one of the things we had to overcome this year was, obviously, as we separated from Dell, that was a big channel. The other thing I pointed out early on was having Dell as a key partner made it very difficult to attract a variety and the kind of channel partners we need to go the other way. So what we're really focused on is saying, okay, the Dell divorce is finalized, so to speak, and we need you, we want you. And we've done all the things that you would think we've done. We've made sure that we're worried about the margins, not only of ourselves, but of our channel partners. We took our comp plans and made it favorable for our sales forces to partner with, and use the channels to become successful. When we build products like VNXe and VNX, channel-ready, adding new products into the channel like scaled-out Isilon and things we've done with Data Domain and Avamar, I mean all these things give breadth to the channel. Like everybody else in life, I don't think any company or any channel partner wants to be totally dedicated to one company, but they want to kind of narrow their scope and really go deep with their chosen partners. So we've really stepped up and done that role. So I think those are the key things we've done. Are we done? Never. We're going to continue to -- there's a lot of things we could do better and we're dedicated on this path, and I love the fact that we have a big and very successful and somewhat revered direct sales force and getting that direct sales force and channels -- it's not or, it's and channels -- to work together is a powerful, powerful go-to-market message and that's what we're going to do.
Operator: Our next question comes from Lou Miscioscia with Collins Stewart.
Louis R. Miscioscia - Collins Stewart LLC, Research Division: Maybe if you could just talk about the dynamics about the price increase. Obviously, hard disk drives vendors raised their prices, and you guys announced that you're going to raise some of your prices to your customers. I mean, what does it to do to revenue for you all in the first quarter, does it help a bit? And also maybe what it could do to your margin structure.
David I. Goulden: Lou, sure, let me take that. Obviously, this is an industry-wide problem that we're facing around disk drive availability. And as Joe said, because of our position and our market leadership, we're in a better position than both. But what you'll see is, that everybody in the industry basically has announced that they will be raising prices in the first quarter. We said we'd raise ours between 5% to 15%. It's different numbers across different drive types, obviously based upon the supply and demand situation. And first of all, again bear in mind, we said we'd get enough drives to get to our revenue plan in Q4, which we did. We also said that we expect the revenue in 2012 to follow a normal seasonal pattern, so we're not expecting a skewing in our revenue because of drives. We think we'll get enough each quarter to make our numbers. Relative to margin, we think we can offset the margin dollars that we're facing in terms of cost pressure with price pressure so we don't expect to have less margin dollars coming through because of price increases.
Operator: Our next question comes from Ben Reitzes with Barclays.
Benjamin A. Reitzes - Barclays Capital, Research Division: Could you guys talk about free cash flow for 2012? I know you're going to get a goal, but what are the puts and takes? You're expecting it to be above net income and there's also some funding that you need to do that doesn't get included in there, like funding, the repurchase of VMware stock to keep your stake at 80%. What do you expect that to be? And maybe the funding of the VCE, how much do you expect that to be and how much is to EMC shareholders?
David I. Goulden: Obviously, a multi-part question there. We expect growth in free cash flow from where we were last year. At 2011, we had more than $1 billion higher than our non-GAAP net income. Deferred revenue was the biggest driver of that, we expect continued deferred revenue growth in 2012, mainly from prepaid maintenance contracts, prepaid service contracts that are doing very well for us. So we'll give you a number when we next speak but, obviously, it's going to be north of $4.4 billion. It's going to be north of our 2012 non-GAAP net income. In terms of uses of cash, we have actually, as I mentioned, early this quarter, we spent $1.7 billion to retire the first half of our convertible debt, so that has actually happened. So that's a deduction from our year-end cash balance. I gave you the number that we would spend on EMC buybacks during this year, about $700 million. On the VMware side, we will, on the EMC side, we will reduce the amount we're spending on VMware buybacks and we'll move more of that load towards VMware. In total, we will buy back to keep EMC's ownership around 80%, but the EMC contribution of that will be less than it was in 2011. Oh sorry, the final question was VCE. The thing to VCE, which will be a combination of what we spend to cover operating expenses, plus what we spend to fund working capital. We're expecting our cash funding to VCE to be roughly similar in 2012 to what it was in 2011.
Joseph M. Tucci: Let me just add that about VCE. What you really see here is VCE's cost because all the margin flows to the parent companies, Cisco, EMC, VMware, et cetera. So the more successful VCE gets, right, the bigger you'll see that number on the income statement. But remember, the benefit and the growth and as David said in his remarks, we're now over an $800 million run rate and we're approaching that $1 billion where we said we'd be quickly. And I don't think that $1 billion by any ways, shape, or form, near to max. We're going to go into multibillion, this thing has potential for multibillion dollars in size. So we do internally have a management plan which we drive then to where we give some of that credit back. So you shouldn't say this is a total of just use of cash without balancing on the other side of the income which comes through all the business lines in Cisco and EMC and VMware.
Operator: Our next question comes from Scott Craig with Bank of America Merrill Lynch.
Scott D. Craig - BofA Merrill Lynch, Research Division: A question for David. Hey, David, for 2012, when you look at the gross margin, can you talk maybe a little bit about some of the puts and takes that will happen on the actual gross margin line? And then as a clarification question on the hard disk drive situation, is that actually impacting revenue dollars in 2012? Because you talked about normal seasonality, but it does sound like you're seeing some impact.
David I. Goulden: Scott, let me take your hard disk drive question first. Basically, the challenges of availability of hard disk drives is just something that we're going to have to work around. And we did work around it in Q4, we plan to work around it in 2012. Just as the disk drive suppliers are doing a good job of working their supply chain, we're doing an excellent job of working our supply chain, trying to match supply and demand during the year. And whilst lead times will be a little longer for certain items than we would normally expect, we will get the drives to make our numbers. So it's really a question of extra work to do more work through the supply chain and working with our field and our customers to kind of satisfy their needs in a constrained market environment. So it's not affecting our seasonality, as I discussed in my comments. In terms of gross margins, when you look at the business, we do expect continued progression positively in gross margins, if you just kind of look at the relative growth of various segments of the business and the mix changes inside the business, we do expect gross margins to continue to improve for EMC in 2012. But as you know, we've guided to relatively constant operating margins from 2011. And in this environment, with the opportunity in cloud, Big Data and trust, we're going to make sure we are investing to drive future market share gains. So those are the puts and takes around gross margin and hard drives.
Operator: Our next question comes from Amit Daryanani with RBC Capital Markets.
Amit Daryanani - RBC Capital Markets, LLC, Research Division: Just a question on free cash generation. I think you obviously talked about greater than $4.4 billion next year. Could you just maybe help us understand why is the buyback dropping off rather dramatically from $2 billion in 2011 to $700 million? And given the strong cash position, is there any thought or appetite for a dividend at some point?
David I. Goulden: We talk about the buyback. We look at buybacks, obviously, over a multi-year period of time. So you really have to kind of average them out. So we did increase our buyback authorization last year from $1.5 billion at the start of the year to $2 billion. So we have a couple of things going on this year. Essentially, we kind of borrowed a little bit of our 2012 buyback into 2011. So if you put that $500 million back, they're really roughly similar. And then of course, bearing in mind I did mention that we're spenting $1.7 billion on repaying the first half of the convertible debt. So that's the way to think about buybacks. Think of it averaged out over a period of years. A period of years in this case, the 2-year average would give you roughly similar numbers. And then, Joe, you want to comment upon our thoughts on dividends?
Joseph M. Tucci: Yes. Obviously, it's an active discussion on the board. I think in the last meeting or the one before that, I forget now, I said I truly believe it's a matter of when, not if. And obviously, what we try to do is return capital through buybacks and return -- make sure that we continue. And I'm still committed to this string of pearls approach we have, where we buy exciting new companies. We have a lot to do around the opportunity around cloud, Big Data and trust. And when we can buy these smaller acquisitions and grow them substantially into billion dollar businesses, I think that's a home run for everyone. So those are the -- the way we do it today and, obviously, there's no question in my mind at some point here we will add a dividend to that, too.
Operator: The next question comes from Alex Kurtz with Sterne Agee.
Alex Kurtz - Sterne Agee & Leach Inc., Research Division: When you guys look at Isilon's performance in 2011, would you say that the salesforce penetration was pretty dispersed across the commercial and enterprise groups or was it really just segmented towards certain verticals? And sort of how do you see that progressing into 2012?
David I. Goulden: We had good success in both enterprise and commercial accounts. Obviously, there's areas where Isilon excels, some areas of life sciences, some areas of media, seismic processing. But again, we have seen a shift and again, into more what you might call enterprise or corporate customers. And as we have more and more software enhancements come out, I think you'll see continued more and more penetration of those kind of accounts, too. So we're very excited when we -- when Isilon became part of the family, and I can tell you without a doubt that we're even more excited today than we were when we bought it. So we've got great prospects ahead.
Operator: Our next question comes from Jayson Noland with Robert Baird.
Jayson Noland - Robert W. Baird & Co. Incorporated, Research Division: Just to confirm that roughly a storage array or proposal is comprised 20% to 25% hard drives. And then I wanted to ask about Europe, Joe. Any additional color you can provide on Western Europe by country or end market.
Joseph M. Tucci: What was the 25%?
David I. Goulden: Jayson, we don't get into the kind of details of our balm [ph]. I mean that's really between us and our supply chain. So we're trying to avoid getting into those numbers. Our supply agreements with our suppliers are obviously confidential between us and them, so we don't want to give away information that could impact what people think about them as well. So we'll stay away from that question. And then, Joe, Western Europe, just color.
Joseph M. Tucci: Well, as we said, we're expecting kind of Europe in total, both the Eurozone and the U.K., to be relatively flat next year in IT spending, which puts a bit of a headwind because we did have decent growth this year. But again, we do expect -- and our plans are to grow, from an EMC perspective, in Western Europe. But you read everything I read. It's definitely more competitive and more difficult now than it was a year ago.
David I. Goulden: And Jayson, just color on what we saw in Q4 in Europe. You saw that we saw Europe growing about 6% year-on-year in Q4. And not surprisingly, we saw relatively stronger growth in Northern Europe and relatively weaker growth in some of the southern European countries, but we still saw growth in Europe which I think is good in this environment.
Operator: Our final question comes from Daniel Ives with FBR.
Daniel H. Ives - FBR Capital Markets & Co., Research Division: Just can you give us your view in terms of financial spending for 2012? I mean, obviously, it's been strong. Just sort of your view baked into guidance, at least anecdotally?
Joseph M. Tucci: When you say that, Daniel, are you talking about spending from the financial sector?
Daniel H. Ives - FBR Capital Markets & Co., Research Division: Yes.
Joseph M. Tucci: It's pretty interesting. We had a decent quarter in financials. Insurance did better than banking, but both markets did okay for us. And I think when you talk to that industry, it's kind of a tale of 2 cities. Obviously, there's a lot of pressures, but also, there's obviously a lot of regulation and a lot of productivity needs that these companies have. And of course, to meet these regulations that are happening around the world and to get the productivity gains, you've got to invest in IT. So we still see good opportunity in the financial sector broadly and there's a lot of caution around it. You've got to make sure you work hard to get your return on investment case very clear. But again, they invest wisely and they need productivity gains and they have to meet the regulations of the land, so we're fairly bullish on our opportunities in 2012. Well, thanks, everyone for joining us. We really do appreciate it. We truly believe that our cloud, our Big Data and trust strategies are well placed and are being very well received by our customers and partners. We have a lot of confidence in our strong 2012 product roadmap. We have a truly great team. Very importantly, we have momentum, and everyone in EMC is really excited about our prospects to grow and take share in 2012 and beyond. So we are in a pretty good place right now and confident, so thank you very much for joining us and we look forward to chatting with you in 3 months. Bye-bye.
Operator: This concludes today's conference. You may disconnect at this time.